Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is unaudited and is designed as a guide.:
Elliot Jones: 00:00 Hi, everyone and welcome to the Agilyx Half year update and presentation. My name is Elliot Jones. I sit on the Equity Research desk at Fearnley Securities and I will be your moderator for the event today. I'm you excited to have the team with me today here, who you will run through the half yearly update, which I believe includes some very significant developments throughout the first half of the year. 00:27 And I encourage, all listeners to please use and utilize the as a question function on your screen, if you have any questions throughout, which we can ask at the end. So, on that note Tim, I’ll pass it over to you, please takeaway.
Tim Stedman: 00:45 Excellent. Well, first all, thank you Elliot for the introduction and I'm really excited to be here with Joe Vaillancourt, the CEO of Cyclyx; Russ Main, our CFO to share with you the update for the first half of this year. It's really exciting time at the development of Agilyx. Lots and lots of things going on. And as I think you've seen from the various announcements a lot of stages of development proof points in our development that we want to take you through right now. 01:22 So, before we get into that, what I'd like to do though and forgive me for those of you who know, Agilyx very well. I just want to make sure that we're all on the same page afar as who Agilyx is. So I wanted to take just a couple of minutes to walk you through this page. On the left hand side, you see some key facts and figures about the company. 01:44 We've been around for nearly seventeen years started off on the West Coast of the U.S. Based out of Oregon, but now we've expanded globally with new locations coming in Europe and with a growing number of employees. 02:01 The fundamentals of the company is that we are a technology company a chemical technology company, leveraging that technology to solve the problem of plastic waste. We do that off the basis of a strong patent suite supported by significant knowhow which has been based over one hundred and fifty million dollars of invested capital into this technology. 02:28 We’re a leader in advanced recycling and we have the first commercial unit producing plug or what we call a plastic to plastic pathway. So, waste plastic back to a virgin product. And just a few weeks ago, we announced that one example of that is the fact that we are using our material with our partners in the value chain to actually put product back onto to the shelves and super markets in Europe in the form of [yogurt] pots, and that is coming out of waste that was extremely distressed. We're able to up-cycle that from super waste to food grade product. 03:09 Our partners are a key part of this. Across the value chain it’s a growing number of players, and we'll talk more about those in a little while. If you look at the right hand side of this page, that kind of just indicates our structure. But what it’s really about is how we are set up to really drive two of the fundamental principles that are behind our offering. The first one is in the form of Agilyx is our conversion technology. 03:38 The ability to take real world waste plastic and turn it back into useful products. Whether that's directly back to a plastic precursor or whether it's back to an intermediate product or a crude oil, but we also bring not only conversion technology, but feedstock technology, which underpins our feedstock management system, which you're going to hear a lot more about today, that is now embedded in our Cyclyx joint venture. The Cyclyx joint venture with ExxonMobil that we announced the back end of last year. 04:16 So, we are fundamentally an asset-like company, but we do have one operational unit and that's this proof of concept unit that's being used amongst other things to provide those that material for those yogurt policy, And that's in the form of Regenyx. That’s with our partner Americas start earnings on the West to the U.S. So that's where you see this cluster of companies Agilyx overall and then Cyclyx and Regenyx. 04:47 So, if you look at what's been happening this here, it's been a very, very dynamic time in this industry. What we're seeing is really strong interest. I would say strong and strengthening interest from both traditional and non-traditional companies into chemical recycling projects. 05:08 We have been investing through this first half in capability and capacity. There's a huge opportunity out there. We're going to talk a little bit more about that in a moment. And what we have seen is we need to be able to build that capability and capacity. We need to get vested in that because that allows us to build the pipeline. And I'm pretty about that investment, because this is how we're going to capture that growth for the future. 05:38 What's very exciting and is really confirmation of something that we knew is that more and more people are understanding the critical of addressing the question feedstock. Lots of people out there are saying, well, okay, I kind of understand the conversion piece of this technology that you could do there. But actually this feedstock, the complexity of what's out there in terms of waste plastic is so vast [happening] (ph). 06:09 And what you are now seeing is that that is really reinforcing the Cyclyx value proposition. And you are going to hear more about that in terms of the members and the people who are joining us in that plan to accelerate and drive the development of the business model, which is excellent, which is actually being faster than we originally expected with Cyclyx. 06:33 In terms of the Agilyx conversion business, we are continuing to anticipate Toyo moving into construction in the second half of this year. So that's consistent with what we said before, and we are maintaining our previously stated objectives regarding projects. So, we've said one project on average into development every quarter, we're reaffirming that, and we're reaffirming our midterm twenty twenty five twenty six revenue targets and we'll more about that later. 07:03 Finally, as you would have seen on the press release this morning, because of this growth, this momentum, we feel it's the right time to actually prepare ourselves to uplift to the main boards in Olso. 07:20 So, before we go further, let's just remind ourselves about what the market opportunity is. We are in an investment phase, that’s because this is huge, this is a vast opportunity that we are positioning ourselves to go after with our partners enabling them. According to IHS, there's more than two fifty million tons of waste plastic produced every year at the moment. 07:46 And if you think that's not big enough, HIS would say by twenty fifty, it's somewhere between eight hundred and nine hundred million tons. When you look at what happens to that, the vast, vast majority of it is being mismanaged or unmanaged. We are classifying here as a leakage. If you just look at that volume and translate it through to our systems, a typical hundred ton per day system, that represents more than six thousand Agilyx systems. 08:16 We would typically expect to get a lifetime revenue above forty million dollars per system. This a huge opportunity and a huge marketplace for us to go after and that's what we're positioning ourselves for with our partners. 08:32 Now, if you talk about our partners, one of the things I wanted to do first off is actually provide a little bit more granularity on one piece of that white space on the previous page which is related to polystyrene. What you would have seen over the past few months is a number of announcements on our polystyrene pathway. This is taking polystyrene back to its raw material styrene. 09:01 If you start at the bottom, we announced a new plant on the Louisiana Gulf Coast in the U.S. with America Americas Styrenics. Shortly after that, we announced our engagement with Technip Energies, a technology company really focused on separation technology. Technip Energies acquired [indiscernible], a number of years ago who were leading Styrene technology company. 09:32 Now what we've done together is put together our two technology capabilities to provide a unique pathway not just back to Styrene oil, but actually back to a Styrene product that can be used directly into customer’s facilities in all kinds of different application. 09:54 Now the other thing that gives us is the ability to start expanding our feedstock capability. So, if you look at the second announcement here, which talks about Agilyx Technology, enabling the recycling of hundreds of thousands of tons of unrecyclable flame retardant insulation. That is enabled by this combination of technologies between Technip and Agilyx. This is enormously exciting. This is a product that it's in that white space, but it can't be touched today because it is laden with these coordinated flame returns, these flame returns. 10:34 It's extremely available, there’s a lots of it and it’s extremely distressed. We can take that product with our system with our partners back to food grade, polystyrene that could go into the other parts on the shelves in the supermarkets in Europe as an example. We don't just need to do that. We can also enable other parties as well. And so what this technology combination does is, it expands the customer base. It expands the market for polystyrene as a feedstock now, not just back to polystyrene but to other products as well. And that's what the Kumho announcement that came out the other day is related to. 11:20 Let me just break that down a little bit more and give you an illustration this way. If you look straight across the horizontal of this page, what we will see is polystyrene waste going through an Agilyx conversion technology, creates a styrene oil, which today with Regenyx, for example, we work with our partner American Styrenics, South American Express. And use their facility because there is styrene monomer producer to produce ASTM styrene, what does that mean? It means pure styrene. That's what you're looking for to be able to use as a downstream user. That's the fungible product that gets traded all over the world. 12:04 What we're now able to do with their technique capability is we're able to provide our customers like Kumho the ability to buy parts, styrene monomer producer. And so we're able to go directly to some of these uses, these other uses that we're talking about. And if you actually understand the world of styrene applications, extremely broad few pictures here. We talked about yogurt pots in the bottom left hand corner, that's a typical application for polystyrene. 12:38 But another one is petri dishes, it’s used widely in the pharmaceutical and life science industries. But it's also used in the middle here for styrene, solution styrene-butadiene rubber. This is high performance tires. This segment alone uses about two to two point five million tons of styrene per year. That's the segment that Kumho with his new announcement is playing in. Very, very high value, super difficult in terms of the issues that they've got to address sustainability. 13:10 We are providing a pathway for them to do that. That's why I say this is opening up new possibilities with new customers. New markets for our technology. We can do this back to ABS, ABS is not anti breaking or anti lock breaking system in this regard. It’s a plastic that's used in the interior and exterior of cars, it’s used for helmet, it's used for Lego Bricks. We can go directly to the people who are making this product now with this technology. New markets, new opportunities, new customers. 13:47 Now, we have forgotten about the other pathway. So, just to reassure you, we're still working hard on the mixed waste plastic pathways. We have a number of activities that continue to develop. With the likes of Braskem working with our partners like NextChem, and those will continue to move forward. We're also continuing to work on new pathways like Polymethyl methacrylate, plexiglass. 14:14 What I wanted to do here is just kind of give you also a feel for what the typical unit size is. We don't talk about discrete unit sizes with each of the announcements that's in sometimes because our partners don't want to make those announcement either, but I wanted to give you the sense of where the typical sizes are. Polystyrene on its own without distillation. So that's without using the technique solution would typically be fifty to one hundred tons per day. But clearly, the economics we spot is one hundred tons per day, so that's two of our lines. 14:49 Polystyrene with distillation is really from one hundred tons per day. Mixed waste plastic can be a hundred to two hundred, but typically two hundred is where the sweet spot starts. And so again let's just give you a feel as we move forward, what are they aims the targets that we're looking for because this is where it makes most sense to our partners. 15:15 So with that, let me pass over to Joe to talk about Cyclyx.
Joe Vaillancourt: 15:23 Great. Thanks, Tim. Good morning good afternoon, everyone. It's great to be with you again today. It's really an exciting time for Cyclyx. And so I'm looking forward to providing an update. That said in the conversation since we've sort formalized the company, it's becoming clear that we haven't done a terrific job and really having people understand fundamentally what Cyclyx is doing, what we're bringing to the market why it's important and more importantly how it's differentiated. So before we sort to get into the operational updates, I thought it might be helpful to just step back and provide some fundamental perspective. 16:04 The mission is pretty straightforward. It's an audacious mission we're trying to tackle a very significant worldwide problem. In simplistic terms, Cyclyx and are trying to increase both the recyclability, but also the recycling rates post-use plastics from ten percent to ninety percent. Easy to say, nut fundamentally, what are we doing, what are we bringing to the market? And there's really three primary components of that that are all very important. 16:34 In the very first instance, and it goes back to that sixteen years of knowhow and chemical capability, we are actually producing and creating new recycled product pathways that currently don't exist. There's lots and lots of low value plastics that even if they were capture properly, they're really on of quality to enter into the existing recycling systems with us and our downstream partners we're finding new product pathways to unlock that plastic, and that's in a pretty important piece talk a little bit more about that in a minute. 17:08 The second element is, okay, that's great. We can find new product pathways, but if we're at a ten percent recycling rate, and that just means the capturing systems are inadequate to sort of grow recyclability and increase it significantly. So, we're also bringing sort of unique supply chain, diversion models where we can capture and divert more plastics from the landfills, the waste to energy, the leakage as Tim highlighted back up into the first new product pathways that we're creating. 17:38 So those two work very. And the second is absolutely needed for us to do what we need to do, and we have been trialing now for multiple year’s new innovative ways to channel inflow, more waste plastics. 17:53 And lastly, which is equally important and certainly important for our downstream partners that were enabling, we're trying to capture those plastics and prepare them in ways at a customized level for our downstream partners, but trying to do it at a lower cost. The lower cost than now allows them to develop their pathways, build the infrastructure and if we get it low enough, hopefully, we can actually accelerate their own plans, And so when you think about the three things that Cyclyx is trying to bring to the market, it is fundamentally those three deliverables. 18:28 So, if we go on to the next page, The question than is, okay, well, how you are going to do that? Well, here, we have actually talked about this before, and this maybe takes on a little bit more logic with that base understanding. To accomplish those goals, we're bringing to the market, three fundamental innovations. And the first one is sort of what we would consider to be our unlocking technology enablement. 18:54 You know, the current system today sort of looks at materials in an object form and tries to extrapolate what it can be used for and it goes into markets that are ultimately clean. We on the other hand take a different view and that we look at waste plastics from a chemical falling perspective. Not just what is in the plastics, but the contamination how we can manage it. 19:17 And by having that understanding, we've also developed predictive modeling capabilities, where we can model different slip streams of waste in the product pathways they can be used for and ultimately, we use that capability to customize feed using a series of recipes specific for our downstream partners. And that's a critical element of our unlocking capability that allows the rest of the system to work. 19:43 Once you get past that, then we're into the supply chain. The current supply chain as we know really doesn't work well for advanced recycling and is not really scalable mechanical recycling, if you're going to talk about the ninety percent recycling rate. And so, we have developed a series of innovative programs to capture material to put them into supply chains that are driven in specific for our downstream customers. We design custom based pre-processing systems for them and ultimately deliver a custom feed for our downstream customers. And that's all based on new and innovative supply chain elements. 20:23 And lastly, we have a consortium approach. This is a big problem. Really, it's not reasonable to expect any one company could tackle this. And so we are engaging many, many, hopefully hundreds of companies to [indiscernible] their efforts together to advance the circularity of plastics to create the supply chains, and ultimately were some approach that creates efficiencies that will reduce the cost of feed. 20:52 And so with these three goals in these three capabilities, ultimately, we have proven that we can source material, prepare in accustomed way for multiple products for our downstream customers at a price approximately one sixth of what the market could do today. And so these three capabilities together are really what creates the Cyclyx platform. 21:17 Now over the years on Slide thirteen, we've sort of highlighted how Agilyx is helping advance in maintaining a leadership position in creating the circular pathway from plastics. And this was sort of helpful to sort of educate a nascent industry and of course, we would always talk about our robust technology platform. We would talk about Cyclyx before Cyclyx in the form of a feedstock management system, and then obviously, we talked a lot about how Agilyx was helping link two different industries the waste and recycling and the petrochem industries. 21:52 And so this was a nice pictorial that sort of help people understand. The problem with that is the bit that sort of goes from the waste to a feedstock, we've grossly oversimplified in my mind. We haven't done a good job telling folks why waste is so complicated to manage. And I spent most of my career and ways to value And this is the piece that is most challenging. 22:18 When you're looking to create commodity based industrial production, off of waste materials, if you don't really understand the complexity of that waste, lots of companies struggle even if they have a very robust technology. The next slide really does a better job in my mind showing the symbiotic relationship between what Agilyx can do and how Cyclyx can address the complexity of that feedstock, with all of the component elements that it is assembled to take waste feed, to secure it to divert it, to pre-process it and deliver it in a custom way that enables our downstream partners Agilyx and any other mechanical and advanced recycling company as well to accomplish what they want to do. 23:04 And so Cyclyx is not only an enabling technology, but it is really crucial if you're going to have a conversion technology that is using waste feed. 23:16 The next slide, you know, the last six months as folks know, and Tim had said that we had consummated the Cyclyx joint venture at the end of last year, and it really formally stood up in January of this year. And since that time in the reporting period here, this has been an incredible amount of frantic activity. 23:35 Lots of infrastructure had to be put in place. Obviously, we had to staff and so currently, we have pretty much fully staffed, the senior executives and middle management positions. We have over thirty team members there. We are doing things like in implementing ERP systems to manage the complex chain of custody that's required for the transactions to deliver ISCC PLUS certified material. 24:00 I'm pleased to announce that in February, the team actually secured an international ISCC plus certification for all of our sourcing activity. And that included certifying the thousand feedstock suppliers that we currently have relationships with. And so that feed was pretty significant. I don't know that there's many companies set up to deliver that kind of material. 24:24 And of course, as we start talking about Cyclyx, the membership is really crucial. And so another thing that we have maybe under communicated on, I know that we've expressed interest in the past to this group that we've been active with over two hundred different types of stakeholders in the circularity of plastic supply chain, but we didn't really give you much insight into how we thought about the priority of those And so in the last few months, we've been very specifically looking at prioritizing our downstream partners. 24:59 Those petrochem companies and independently design build on operate conversion technology companies who actually will ultimately need the demand for the feed. And so, we very specifically focused in on that group. As you can see from this list we have a very impressive set of partners who will be working with every day to advance the platform and there are many more that are other members that we can't announce for various reasons are ones that we will be closing here shortly, and you'll see more about that. 25:32 Currently now though, we are expanding the focus on different elements of other membership that will help create scale and will help us catalyze our business platform. The C and I, the CPG’s, the waste and recycling companies, municipalities who could lever what we have going on. And so down below, we have a little pie chart that sort of gives you an understanding of how that segmentation shows. 25:57 Recently, however, notable now that we are going and looking at sort of the CPG in the C and I space we're developing really strong relationships. Recently, we just announced two relationships that anchor an industry take back program. So, we have Millipore Sigma, which is a life science affiliate of Merck, and Corning have just joined and are anchoring a life science take program for single use laboratory equipment made with polystyrene. 26:29 You'll see a couple other similar sized companies joining that coalition that we're not able to talk about, but that just helps validate that from the downstream partnership perspective, they are comfortable that we can deliver custom feed. And in the intermediate that we create these interesting industry take back programs that are novel and unique. And so in this reporting period then, we have accelerated our sourcing, we've got dedicated sourcing people. I'm happy to announce that in July, we actually started delivering fee to three customers, including Exxon. 27:05 We're working with another eleven companies in various stages of testing and helping create their specifications. We're looking at various waste shared analysis in eight countries to support those eleven companies. And so you'll will see here in the coming months a lot more news on joining members. 27:27 And as well and final point on this slide is in addition to the membership of Cyclyx, with the support of Exxon and some of our downstream partners in Agilyx, we also help create an executive advisory board. Net executive advisory board is made up of twenty or so premier partners, many of which were listed on this page. Who are – we're leveraging their executive talent. We have some independent thought leaders who are coalescing to make sure that the guiding principles are proper and that we can scale this program effectively. 28:02 The last update I’ll provide. This is interesting graph. It's a little bit noisy and I'm sure unsatisfying at least in some data respects, but it's informative and it's exciting. So, let me try to walk you through it. The sort of four bits of information here that are important. The base graph the light green graph shows essentially the demand that we have with our current signed customers. That demand is sort of reflected in adjusted time demand for annual volume per year. 28:37 And so from our perspective, with just a handful of companies, this is a pretty relative to what's going on in the recycling world today. These are pretty dramatic demand polls that we have. However, at Cyclyx, we're not necessarily satisfied just with that. We believe that in order to allow our downstream customers, it’s a scale in this way that we actually have to source feed in advance of that need so that they can de-risk their plans. 29:03 And so the darker green shadowed portion of this graph to the left is the Cyclyx strategy to try to pre-sell, prepare an inventory feed in advance of the need for our downstream partners. And so, you'll see a lot of our activity now focused on building that infrastructure advancing the sales and again, this is just representative of a handful of companies. We're hopeful that by the end of the year, we can hopefully double that. We'll see. But we have a lot of traction. 29:36 The other two bits are not necessarily time related proportionally, but the pink line, the decreasing line shows our estimate of our ability to lower the cost of feed for our downstream partners, The significance of this in the way Cyclyx is set up is that we're flowing that efficiency through and our pricing to a downstream customers. Not only to enable them to meet their recycling goals, but to incent them to accelerate those goals as well. 30:06 And the more we can reduce that cost, the better off our scaling and ramp will be. The blue line shows a related effect. So, even though Cyclyx is reported to be a utility like model, Agilyx still has a net royalty associated with the downstream purchases. And this just shows the relationship that as we lower our cost of feed to our partners, we enjoy an increasingly larger royalty net to Agilyx. And so in that way, we have very line motivations between Agilyx, Cyclyx and our downstream partners. 30:44 So with that, I will look forward to any questions that you may have on any of the Cyclyx material. But in the meantime, I'll hand it back to Tim to finish out the update.
Tim Stedman: 30:55 Yes. Thanks very much Joe. I think that insight that Joe has provided has been useful for people, because I know there have been a lot of questions in the Cyclyx area, and we wanted to make sure we were trying to address as many of those as we could. Just a few pages in summary then. First of all, again, just to kind of go back to that statement I made right close to the beginning, which is about expecting to bring one new project into development on average every quarter. 31:26 We're staying with that guidance at this point in time, you're familiar now if you've been seeing these presentations over time with this model of development construction and operations. This is for one hundred ton per day unit where you see the revenues coming in associated with that and clearly the step-up in revenue is associated with moving into construction. 31:51 That kind of direction in terms of the objective of one project per quarter, aligned with the previously stated five hundred tons per day in operation which was our goal for twenty twenty five, twenty six translates into this overall target of two hundred million dollars to three hundred million dollars of revenue in that same time timeframe. 32:16 Now, I'm not going to go through this in too much detail. This includes the royalty from Cyclyx, it includes all these other revenue streams on the bottom left hand side. I’ll just point out to you that this was based on the five hundred and fifty thousand to eight hundred thousand tons of volume going through Cyclyx in twenty twenty five, twenty twenty six. And I'll leave you to look at the chart that Joe just shared with you. In terms of how you want to look at that, whether that's de-risking or whether there is scope for further development? This is where we are sticking right now in terms of our guidance we're maintaining it. 32:59 [Indiscernible] the first half, when I talked about that earlier, that this is really a story of investment. It's planed, it was expected. We have gone a lot of work that has been put to – put in place such that we can capture this market opportunity. We’re at the beginning of this game. This opportunity as we've talked about is massive. The Cyclyx volume is just alone that we have shared a big, but as Joe alluded to there’s an awful lot more out there when you look at that white space chart. 33:31 So we're building capability and capacity in Agilyx, in Cyclyx putting that infrastructure in place, and we are building our pipeline, working with a diverse group of partners on both Agilyx and Cyclyx side, such that we have a robust pipeline going forward. You can see also the cash position that we're in at the moment. And so this is basically our snapshot of where we are at the end of the first half of this year. 34:04 Now, in closing, let me just touch back again on what is the Agilyx proposition. And this chart basically there to try and capture the seven key points. First of all, this is a huge market opportunity. It's emerging, it’s developing and it's core to our ESG principles. We are addressing that as an integrated player integrating with feedstock capability and conversion technology capability and then adding on to that capability coming from our partners such as technique to further expand our ability to go after that market opportunity. 34:47 At the core of the conversion offerings of highly versatile, and proven conversion technology. The thing that that allows – that technology about Cyclyx to do is maximize the degrees of accessing that white space of plastic. But what Cyclyx is able to do is work whatever the constraints are from whatever technology people are wanting to use to continue to drive cost out and availability out, but that weighs the market. 35:20 With fundamentally capital light, you know that we’ve got a huge growth potential, which I hope you've seen captured again here today and you've seen why we are so excited about it, and we're building that with a vast array of credible and relevant partner companies. These are partners who get this space, who understand it. Who are invested in it, and those are the partnerships that we're wanting to work on. 35:51 Finally, we have an experienced and dedicated team coming from the chemical industry and from the waste industry predominantly. And I did want to say at this point, I hope you also picked up the announcement yesterday about a very exciting addition to the team. Carsten Larsen coming in to be our Chief Commercial Officer. Carsten who comes from the Dow Chemical Company, one of the biggest players in the petrochemical space. 36:18 Huge amount of experience in this space where he’s been working on the Dow’s plastic business for a number of years now. And we are absolutely delighted that we can bring in somebody like Carsten to help us continue this journey of growth. We think it's a huge validation of what we have to offer, and we're super excited about the future for Agilyx and our partner company Cyclyx and a broader capability that we can offer to other partners in the industry. 36:55 So, with that, let me stop and I think we have time for some Q & A. Elliot back to you.
A - Elliot Jones: 37:03 Yeah. Thanks very much Stedman and also Joe for the update. Extremely insightful and great to hear the foundations being laid and there is a momentum. And I know it’s probably time for some Q and A. Yeah, I'd encourage everyone once again to use the function to submit your questions. I know we have a couple here. 37:27 The first question, we are now seeing a suite of technologies within the chemical recycling space, what advantages does pyrolysis have over technologies such as the use of solvents that for example [indiscernible] and gasification?
Tim Stedman: 37:50 Yeah, Joe, let me start and then I will pass over to Joe as well. I think first of all what I would say is that we are about enabling people to solve this problem. We don't anticipate that there will be one technology that solves everything. But what we see with the Cyclyx offering is that we can help people whether they want to use our conversion technology, or they want use a different technology to solve the problem of feedstocks. That’s what’s so exciting about this unique combination that we've got. 38:23 In terms of our particular technology, the key thing here is that we are able to up-cycle from the most distressed feeds to feed – to products that can go back into highest possible value end users in food grade pharmaceutical grade. That is the key to being able to maximize the access to the cheapest possible feedstock waste plastic, and to get it at the greatest availability. 38:54 Sometimes with certain other technologies you will be more limited on that front. Doesn't mean to say that it's not going to work. Doesn't mean to say that it won't have a place, this opportunity space is so huge that it's about and not all. That's what we believe. But we do have a unique capability to be able to address that plus specific product pathways such as, taking, flame retardant loaded polystyrene info back through to pure styrene monomer then can then go into all kinds of different applications, that is unique that is completely unique, and that's an offering that we’re very excited about.
Joe Vaillancourt: 39:39 Yeah. I guess I would just add, I mean, I agree with everything you said, Tim. I would just add that lots of these technologies have been developed usually for a very specific product pathway and usually on a particularly specified type of feed. So, one of the questions embedded in the question was, [indiscernible] paralysis to gasification and dissolution. So if you just took an example of a EPS foam, you could make the argument that dissolution approach might be more cost effective on that particular slip stream of waste versus a paralysis unit. 40:18 The paralysis unit however, can take, as Tim is highlighting really low grade materials with contaminants now that dissolution can't. So, now you are sort of struggling with what's the efficiency of the system, what's the quality of the product you're producing and at what cost. And so there is no silver bullet for the technology, but I do feel like one of the capabilities that the company has developed is understanding the operating conditions, the advantages of limitation so that we can help enable that performance. And so from our perspective, and I was a bit remiss, but even with Cyclyx, not only we're supporting a lot of otherwise competitors to Exxon, as well as Agilyx, people are coming to us for feed because they can't sort of figure out the type to feedstocks they need for their system.
Elliot Jones : 41:11 Understood. Thanks, guys. Yeah. There are a few questions coming on Cyclyx actually as you can imagine. So I start going now. First one is, when signing new members and partners into Cyclyx to become members and signing members, you know how ready are these companies in general start receiving feedstock from Cyclyx? You know, do you expect one of the big names to have process and technology rates receive straightaway or is that you know simply a six month three year wait or how do you kind of view that?
Joe Vaillancourt : 41:47 It’s a great question and obviously there's no broad – no way to simplify. But I would tell you in general, when we sign up a new member that's looking for feedstocks, there's a typical program that we go through. It either happens a little bit pre-membership or post membership just depending on the dynamics. But we in essence work with those companies to under-spin their specification. 42:12 I would say an eighty percent of the folks that we've worked with so far, we've been helpful and actually helping them understand their specification better. Once we have sort of a consolidated specification, we then help design, if you will, sub recipes. So, if you've got one composite specification, you can feed that with maybe up to twenty different discrete sub recipes that we would mix to deliver. 42:38 Then we do, typically, we do some physical testing. And then once we understand and everybody's comfortable that we can deliver what they're looking for, we then go to the geographic areas that they're interested in. And we do waste shed analysis and the sourcing plan, and then off the hills of that we get orders. Some companies come to us much better prepared for all of that work and it could take as literally as two weeks. 43:01 Some are at the early stages and it could take us six months. But inevitably, we're closing almost everybody coming to us with a challenge on feedstock because we get them comfortable that we can deliver.
Elliot Jones: 43:16 Very helpful. Thank you very much. And then another question, what is the difference between a member and a founding member for Cyclyx?
Joe Vaillancourt: 43:28 Yeah. It's a great point. From a contractual standpoint, not too much. The founding members are those companies who have a very strong sustainability commitment that fits and is well aligned with what Cyclyx is doing. If you want to be active members in helping make sure we properly develop governance set up programs that can scale. So there are members essentially who are invited based on their commitment to the overall cause. 44:02 And I will say in the seven months that we've been operating the executive advisory board, it's pretty astounding how much value they're contributing. It's been a great group
Elliot Jones: 44:15 Understood. And you mentioned in July you were able to supply some feed to for example on ExxonMobil, is there any way you can give any, you know a range of the content of that feed or probably not?
Joe Vaillancourt: 44:37 Well it’s, we delivered more than you could pick up. Obviously, I don't know that we can give you actual volumes, but I will say that for the start of the exercise, the overall volumes may from an industry perspective be modest, but the purchase orders we're getting and the tranches we're delivering are very significant and in fact, I would argue the first of kind shipments of custom developed feed that's ISCC PLUS. So, the logs are significant. We're expecting those volumes to grow quite considerably as you saw from the graph. And we think by the year end, we're hoping to have ten or eleven customers.
Elliot Jones: 45:20 Great. Thank you. Moving onto to, you know, projects that could be coming into construction, there's a question here on polystyrene, how comfortable are you with that project moving into construction in the second half of the year? And then more broadly, have you, you know, given the recent announcements have become even more comfortable with your mid-term targets over the past six months?
Tim Stedman: 45:50 Yeah. Ontario what we’ve guided is that we still anticipate that we anticipate that it will go into construction in the second half. We think Toyo are very committed to this. If you look at the way that this is viewed in Japan and by the Japanese government than there is enormous amounts of commitment and focus on addressing this kind of area and specifically around polystyrene pathways. So, I think the direction is very clear. 46:22 In terms of the twenty twenty five twenty six numbers, we wouldn’t have issued them in the first place if we weren’t comfortable with them. So, you know it's – that I would say is clear. I think the key way of looking at this is, what are the proof points that are saying we're on the pathway towards that. And I know everybody wants to see the construction signal with Toyo as the front runner there. But I really think that I'll point you to that signal of Cyclyx starting sales to major, major third parties. That is a huge signal. 47:05 And I think a lot of people early on were wondering what is the relevance of this membership, you know how does that work? Well, I think what we’ve done now is showing how those memberships can convert into volume, and volume for Agilyx converts into royalty. And so, I think this is a huge step in terms of the kind of whether you wants to view it as delivering that, whether you want to view it as de-risking about twenty twenty five, twenty six that's all there. 47:38 I would say also things like the Kumho development is super exciting on that front, because you know, one of the things that we have do, we're a technology like company. Everybody knows that. We like that, but the problem is that you're relying on your partners to move things forward. So you need to de-risk that pipeline. Best way of de-risking that pipeline is to make it as diverse as possible. And this polystyrene development allows us to go after a whole new range of customers that previously would not have been capable of dealing with this because they would have needed a styrene producer in between. 48:19 And so now we're skipping a step in the value chain. We're going, you know, we're offering those people downstream of the users of styrene to say, take control of your own recycled feedstock. And Kumho is the first one out of the gate, but I can tell you there's a lot of interest.
Elliot Jones: 48:41 Great. Thanks. Thanks Tim. Next question. As you gain experience with different partners and different projects, what would you say is that the main and kind of typical bottlenecks that you see within the development phase and moving through the development phase to get into of construction phase?
Tim Stedman: 49:02 Yeah. It's a great question. If you go back to the page we share regarding what the cost is, oh sorry, what our revenue is on a one hundred ton day unit. You know our revenue on that construction phase is let's say twenty million dollars. I mean, just to keep something simple. You know the cost of the unit is going to be somewhere between ninety dollars and one hundred and ten million dollars. So these are major capital outlays that these customers are being asked to do. 49:39 Now they're capable of doing it. That's why we want to play with these particular large you know owners. So, these numbers don't put them off. But it's still a significant process to go through. And so, you do have to work through their typical decision making process. And this is a market. This is an area where there's a lot of unfamiliarity to them. If I'm normally building a chemical plant, I know where my feed is going to come from. It’s [indiscernible]. It's something like it. This is different. 50:11 And that's what I mentioned earlier on, there is a huge interest and a huge awareness that feedstock is absolutely critical. And so, this role that Cyclyx is playing is being utilized very, very heavily in these discussions. It's being scrutinized very, very heavily in these discussions. And fundamentally, we believe it will be a massive plus for these discussions because as people understand that Cyclyx is able to address that issue in a way that actually other systems can't or there's no other system out there like Cyclyx. 50:47 Then, you know that is going to be a huge value proposition. But those things you mean need big projects. They take time. They take time. So that is the reality of the process.
Elliot Jones: 51:02 Understood. Thank you. We probably have time for one or two more, but this one is a bit broader, with regards to regulation and policy going forward, you know, what's your views on, you know for example the [indiscernible] around chemical recycling, do you think it's bad? What do you think needs to be done? Because obviously, you know, with a policy like that, that could really kick-start an industry such as this?
Tim Stedman: 51:30 Yeah. I think in general, my view remains the same. As I think I've shared before, which is that we view the regulatory framework as genuinely speaking positive in terms of pushing this forward. You do get some discussions happening, which start make you scratch your head, because actually, if they were to go through, they would have the opposite effect. But I'm fairly confident that the alignment between politicians to community at large industry, at different levels in the value chain is very much aligned that we have to address this issue. And therefore, science will play out, science will drive how we do this. 52:18 In terms of the EU taxonomy at the moment, actually, what it would say is, what I've described as that new polystyrene pathway of waste polystyrene, to ASTM pure styrene and integrated system with the Agilyx Technip solution back to a finished product that could be polystyrene, it could be a expanded polystyrene, it could be ABS, it could be the material [indiscernible]. Actually, that fits perfectly in the EU taxonomy. That is the kind of sweet spot in the EU taxonomy right now. 53:00 I suspect that the EU taxonomy is going to evolve because it's going to have to evolve because in order to be able to address that that waste reality of that white space and we're positioned with the flexibility, the capability we’ve got across our different offerings to be able to help our customers actually address that. So, I'm actually very confident about that. And I think this will move in the right direction to drive the right result.
Elliot Jones: 53:32 Understood. Thank you. And I suppose piggybacking off of that, yeah, obviously I think most people are aware of the European Union, you know, drives and the targets with the recycling rates going forward. But it is a big wide world out there and there are obviously other regions. First question is, you know, other than Europe, are there any other regions around the world that you think could really be very, very great in this space? And secondly, you know, are Agilyx looking to expand, you know how business conversations with these regions?
Tim Stedman : 54:09 Very straightforward. The answer is yes and yes, but let me expand. So, yes, what's our leading edge program, it's in Japan. So this is building up everywhere in the world. I was – got a contact from somebody in just in China the other day, saying, the Yellow River area is absolutely crying out for this kind of chemical recycling. So, you know this is everywhere. And people who think this is going to stop, I'm sorry, I don't agree with you. 54:40 I think the ship has sailed, you know, this is going to be happening everywhere in the world. We're getting requests from all around the globe. Again, another reason why the asset-light strategy is a good one. Because we've got projects in Australia. We’ve got projects in South America. We’re working on things in North America and Europe, and we have, you know three development discussions globally. This is also where people at NextChem and Technip can help us enormously. 55:09 You know NextChem is all the work working primarily as an ETC with lots and lots and lots of different strategic players at different points in the value chain. Their reach is huge. One of the reasons for doing these kind of alliances is to be able to piggyback on that to position ourselves for projects globally. 55:30 So, I think we just started. If you look at the majority of that white space plastic, it's not in Europe, it's not in North America, it's all in Asia. And so I do see huge potential for the future, but there’s plenty to keep us busy in Europe and North America in the meantime.
Elliot Jones : 55:50 Understood. And I think on note, I think that brings us to the end of the Q and A session right now. So, yeah, once again, Tim and Joe, and team thank you so much for the show and the update and for the Q and A session. It sounds like, obviously there's a lot of foundations being laid and yeah, we're looking forward here now to continue to the Agilyx story and thank you very much.
Tim Stedman : 56:22 Thank you very much, Elliot. Really appreciate the kind of being the master of ceremonies. And I appreciate everybody for joining the call and for the questions. And we look forward to the interactions going forward and sharing with the exciting journey that we're on. It is I hope you get that. We are very excited about it. And I think there’s huge, huge potential. We just started in terms of the capability of what can be delivered here.
Elliot Jones: 56:51 Great stuff. Thank you very much. And, yeah, thanks, again.